Unidentified Company Representative: Good morning, everyone, and welcome to TR's First Semester Results Presentation. It's going to be conducted by our Chairman, Juan Lladó; and our CEO, Eduardo San Miguel. It's going to last about 15 minutes, and you will be able to post your questions after the final remarks. I now leave the floor to Juan Lladó.
Unidentified Company Representative: Thank you, Antonio, and good morning, everyone. Thanks for joining us today on our first half results presentation for 2025. Both, Eduardo San Miguel and I, will guide you through the most relevant issues that have taken place this first half of the year 2025. And first, as usual, I'll share with you a glance of our business performance, and Eduardo will follow the presentation [ analyzing ] the financial results, and as usual, as well, I will do a wrap-up with some final remarks. So let's move on with the business performance. Three big numbers here. First, let's talk about our present. Our present are the EUR 3.8 billion of order intake. Order intake with extremely good quality EPCs and a very healthy mix with technological, engineering services, very much in line with our focus and our strategy that I will talk about later on. Second number is our immediate and healthy visibility for the next years. That's the year-to-date backlog, EUR 13.1 billion of healthy backlog. This is our visibility. And third, which I think is very important now, this is a real future. This is our future with a very strong and selected pipeline, a strong and selected EUR 72.3 billion for the next 2 years. The pipeline is not only the future pipeline, are the jobs that we are already bidding, that we have been already prequalified and getting ready to bid, or that we have been invited to bid and we have to answer whether or which jobs do we want to bid. And it's a big number. And let me tell you, it's a very healthy number. And it does represent, as I said in my note, a very positive environment. We are working in an extremely positive environment. But also it's very important because you have to get invited to bid. It also represents the value of TR's franchise, which is nowadays very strong. So let's focus on what has happened this quarter in terms of award. And I'd like to focus on our service unit, our service business. Let's focus on the more than EUR 120 million, almost EUR 130 million awarded this last quarter. And I'd like to stress or send 3 messages: a message of engineering quality and engineering capacity, a message on technology, and a third message on credibility and trust with our industry leaders, which they're defining their future and we're defining with them our future as well. So let's go over these 4 very important jobs. Our joint success with Thyssenkrupp, which everybody knows that is an industry leader among many chemical disciplines. In this case, fertilizer [ dealer ], fertilizer discipline, we joined them with our own technology for a big size fertilizer project that we cannot disclose, customer cannot disclose. We can disclose that we are partnered with Thyssen, which is with Thyssenkrupp, which is Thyssenkrupp-Uhde, which is an honor, and I'm sure we're going to do a great job together. EUR 65 million is our scope. So this is a big job and very technological and large job. Second, our successful result in large -- quite large, clean fuel front end for more than EUR 35 million, which shows we very much focus and align our service strategy. It reflects, again, our engineering, technology, and credibility. EUR 35 million on front end. If you compare with other ones, this is a big job. Third, and this is very important, which reflects TR's technological credibility in the region is a very large -- that we're going to be working for a very large Middle East national oil company, which that company has entrusted TR for the digitalization design of some of their facilities. Again, engineering, capacity, technology and credibility. Very important. And the last one, which is probably the most important one, we've been awarded by ACWA Power with the front end with the rollover possibility or opportunity for the largest green hydrogen, green ammonia investment in the world. And let me move to the next slide because I think this job and this award deserves just a slide by itself. And it is, as I said, an important slide because I think in this slide with many words and numbers, it summarizes in itself full TR's strategy. This is the SALTA strategy that we presented to you about a year and a few months ago. This is a strategy which shows that we fully focus on customers and market. We focus in Saudi Arabia, where we have delivered many jobs from petrochemical, gas, power now for Aramco, SABIC, [indiscernible], and ACWA, and now we focus with ACWA. ACWA, this is the third job that we're going to be working for them and with them. The second message here is that we are engineering services. Engineering services and very much focused, as you can see here, in low carbon focus. This is our low-carbon focus strategy. The third message within our SALTA strategy is that we continue focusing on working with strategic partners. And in this very specific case, our strategic partner, Sinopec. This is the third job in Saudi Arabia. And as you know, we're working with them in other different regions around the world. This is a successful -- it's a good partner, and it's a very successful strategy. And all these 3 very important messages on which converge the full strategy wrapped up within the largest ammonia plant in the world, the largest ammonia plant in the world that is labeled by the Saudi authorities, the Saudi Europe Corridor. Saudi authorities are developing the largest investments in the world with the agreements with their European buyers to build the largest corridor in hydrogen -- green hydrogen and ammonia. And for that investment, which is huge, they have decided and we're proud to be that TR will be one of the players together with a very good partner, Sinopec. And now with this message, Eduardo will continue with the presentation.
Eduardo San Miguel Gonzalez De Heredia: Okay. Thank you, Juan. Good morning, everyone. In the previous slides, we have seen that it seems we have broken a glass ceiling. We have been fighting last year to be considered by our clients not only as a good EPC, but also as a company that can render solidly pure services, and we have succeeded. Now, it is time to revisit the effort we have been doing in the past to adapt our workforce to this new scenario. And again, we believe we have done the job correctly, and we are ready to absorb all the new activity that will demand our new only services business line. Our workforce will reach 13,500 employees by the end of 2025. This represents a 60% increase in the last 2 years. We are strengthening our engineering capacity across all our key locations. In our headquarters in Spain, our main hub, we are already close to 6,000 people, 90% are engineers. In India, we have concentrated our efforts, searching for first quality engineering and competitive costs. Early 2026, we will have more than 2,000 people in our offices of Bengaluru and Chennai. And we continue to strengthen our engineering offices of Emirates and Saudi Arabia with the purpose of being closer to our clients. The good news is we still see room for growth in all those geographies. We have the talent and we have the capacity needed to execute our business plan. Let's now take a look at our financial performance. But let me first point out our figures. Our figures have improved once again. It is the 12th quarter in a row of growth. And what is more important to us, it has always been aligned with our previous guidance. The numbers. Our net sales have reached EUR 1.4 billion in the second quarter. This represents a 32% increase compared to the second quarter of 2024 and is a reflection of our solid EUR 13.1 billion backlog. Regarding our EBIT for the second quarter of the year, it has increased to EUR 64 million, reaching 4.5% of our revenues. EUR 64 million is the highest ever quarterly EBIT delivered by TR in its history, and the 4.5% margin is fully aligned with our guidance for the full year. The EBIT improvement is a consequence of a solid operational performance, the implementation of risk mitigation measures, and a commercial strategy focused on being very selective. So finally, solid numbers in terms of revenues and margins. Let's now take a look at our balance sheet figures. Our net cash remains at EUR 422 million, a level where we feel very comfortable since it allows us simultaneously to grow, but also to manage efficiently our business. There is a threshold of cash needed to provide comfort to our clients and banks. But beyond that threshold, our policy is to inject as much cash as we can to our suppliers and subcontractors. There are 2 main benefits of this policy. Better terms of payment improve dramatically the ability of suppliers and subcontractors to execute its scope of work on time, reducing significantly our risk of delays and potential penalties. And obviously, we can also agree more favorable purchasing conditions, mainly volume rebates and priority delivery slots. In summary, cash allows us to manage the business efficiently. And regarding the equity levels, we ended the semester in a robust position of EUR 654 million, including SEPI's PPL. Let me remind you that our primary goal was to reach pre-COVID equity levels, and that has already been achieved even without the SEPI's PPL. And finally, I would like to give you some color about 2 relevant issues we cannot still provide you full visibility. Revenues. It's a fact that the revenues are growing above our guidance. If we repeat the volume of revenues we had last quarter during the second half of the year, we will have around EUR 5.6 billion this year 2025. The main reason is many projects are required to be accelerated because our clients are demanding it. We are currently negotiating compensations for some of these accelerations as a prior step to accelerate. We expect to have a complete understanding of this agreement by mid-September, and the final figure of revenues can be even above those EUR 5.6 billion I mentioned before. But the most accurate revenue guidance for the years 2025 and 2026 will be provided late September, early October. And regarding the SEPI loans repayment, my message is this is not a financial matter anymore. It is a strategic decision that we will take after summer. We still believe SEPI's support is useful with certain clients, but obviously, we also want to repay SEPI quickly in order to reduce the financial cost and to pay dividends. So in both cases, we're talking about potential good news in the second half. But for the time being, we want to be realistic and accurate. And now let me give back the floor to Juan for the final remarks.
Unidentified Company Representative: Hello, again. The most important remark is not a remark, it's an invitation, an invitation to all of you to our Investors Day next October the 2nd. It will be here in Madrid in our premises, and I think it will be a good opportunity to see and understand how we work and where we're going. So with this reminder, with this invitation, and also with a very good order intake with a healthy backlog, with the growth in sales, with a record EBIT within margin guidance, and with a [ solid ] cash, let me wish you all a very good summer.
Operator: [Operator Instructions] And our first question comes from the line of Ignacio Doménech with JB Capital.
Ignacio Doménech: [Foreign Language] I have 2 questions. The first one is on the commercial pipeline update. It is significant increase quarter-on-quarter. If you can give us some color on what's driving the increase. I suspect this project in -- hydrogen project in Saudi Arabia could explain something. But just wanted to get your view if actually this project is also ramping up the pipeline, especially in this division, in the energy transition. And also in line with this question, given the strong momentum, how should we think about order intake in the second half of the year? Do you expect a material acceleration in the second half? And the second question is just related to the balance sheet position, which is quite strong. So I was wondering, how should we think about the resumption of the dividend payment and the partial repayment of the SEPI debt.
Unidentified Company Representative: it's true, and we have presented a stronger pipeline. And that stronger pipeline, it shows a growth and a very solid growth in the Middle East. As a whole, I mean in the Middle East [indiscernible] countries are launching and we are presenting already offers in big projects, big projects and big investments with different projects altogether. It is not only growth in gas and petrochemical, it also includes growth in power and growth in low-carbon investments, which, as I said, they're already taking place. So it's important. [Indecipherable] Middle East and everything. There is growth again and opportunities in the United States, in America, which we have included. We're already getting invited to important investments, some of them low carbon. And third and finally, we're expecting also some conversions. So there is growth, and that's why we pointed, that is the environment is good, and there is good on the different regions with the weight, obviously, in the Middle East. In terms of you were talking of awards, this second part of the year, we're presenting offers now. We do believe that it shouldn't be a great challenge to get awards to replace sales. That shouldn't be a great challenge. It could be some -- which happens very often that the final award doesn't take place until January or February. But give or take 1 month or 2, I think that it shouldn't be a great challenge. I mean, by the number of offers that we are presenting already, and we do have to present in September and October. So it looks good, and we are positive about it. But I cannot give you far more detail here, we enter within what messages we are giving to our competitors. But it is good. Let me be -- let us all be optimistic.
Eduardo San Miguel Gonzalez De Heredia: Okay. And regarding the balance sheet question, I think it's a very open question. It's a fact that the balance sheet is stronger than before. It's bigger. We have more receivables. We have more payables. It's a fact, but it's a consequence that the activity compared semester versus semester, we have grown 32%. So obviously, the figures have to grow. But the cash is improving, the working capital is improving. I mean, as you say, it's on a stronger balance. So we are happy with it. SEPI has nothing to do with the strength of our balance sheet. SEPI, as I told you, is a decision, that has to do with how do we feel more comfortable when bargaining, when negotiating critical matters with our clients. After summer, we will make that decision and it will be communicated. So that's a fact, it's going to happen. But if we are talking about how this will impact our dividend policy, because Juan mentioned it as well, yes, we have the cash, and we are planning to repay SEPI in advance. I don't know when, but that's the idea. Yes, it's a fact. But we told you clearly that the idea was dividends would be paid against the results of 2026. I mean, do not expect that through advancing the repayment of SEPI this year, we can be paying dividends this year, 2025. That's not the idea. That's not what we told you in the Capital Markets Day in Abu Dhabi, and we still believe that's correct. That's the right way to act. So you're right, we have a better balance sheet. You will see a reduction because SEPI hopefully will not be in the balance sheet by the end of the year, let's see. But the dividends will not come until 2023 results.
Operator: And your next question comes from the line of Mick Pickup with Barclays.
Michael Brennan Pickup: A couple of questions, if I may. Just on the ACWA Power FEED, that 10 months to do the 100,000 engineering hours, is that the time frame we should be looking at for this to convert into an EPC? Or is that time frame to get to negotiations to come up with an EPC price? And secondly, just looking at your results at the back, you give the EBIT margin breakdowns by business line. The upstream and refining business clearly dragging on profitability at the moment. When do those problem contracts finish? And when can we expect that to start hitting positive territory again?
Eduardo San Miguel Gonzalez De Heredia: Mick, to the first question, the answer is yes. We have 10 months to complete the FEED and to fix our price for a potential EPC. That's the idea. And we are very proud, and we have told the other day and the ACWA team, they will have our best team because we want to absolutely succeed in this project because it's critical and it's a game changer. I think we are extremely happy with that project. And also personally, I think it's a success because it's a tick in all our main messages has to do with the SALTA strategy, its services, its energy transition, its partnership around the world, it's being close to the client. It's perfect. It's perfect. So yes, we have 10 months to do the FEED and to define which is the correct price for an EPC. And regarding the second question, you are right. It's in the refining sector, we are seeing the results of a number of projects that are already completed, and we are negotiating with clients and subcontractors the final agreements. We are very, very close to an end. It's 4 projects. I think we have done the right estimations. Many of those agreements have already been done. I mean, it's not an estimation. It's the real cost. And we do not expect significant increases in the future.
Michael Brennan Pickup: Okay. And can I just do a follow-up on the data you've given here? Obviously, your ACWA Power is 100,000 engineering hours for EUR 8 million. Is there anything different on the FEEDs, which are much bigger than that, so I can start scaling how many hours each of those is. Obviously, some of the FEEDs you're talking EUR 65 million, which looks huge for a FEED study. So is there anything unusual in those other FEED studies?
Eduardo San Miguel Gonzalez De Heredia: Mick, can you rephrase the question, please, once again?
Michael Brennan Pickup: Yes, I'm just looking at -- so you're saying ACWA Power is 100,000 hours of engineering, and that's EUR 8 million you gave out on the previous slide. Some of the other FEED studies are EUR 65 million. So can I scale the manhours? Or are there other things associated with those FEEDs, like licenses or other things and why they're so big?
Unidentified Company Representative: Yes. I mean, give or take, 10,000 manhours is about 50 people, give or take, engineers. In this case, -- and then you can do -- it depends on the fees, depends on the quality of the FEED of the cost and fees of the different engineers. It also depends on whether we have to work with licensors. But there is -- you can do a gross number [ escalation ], and it would make sense we would think.
Operator: And your next question comes from the line of Kevin Roger with Kepler Cheuvreux.
Kevin Roger: We have maybe just one question on this success that you had in terms of services over the past months and the fact that you secured now more than EUR 130 million services contract that you guided a few quarters ago to be generating a margin of more than 30%. So I was wondering this commercial success, in a way, does it change also a bit the outlook that you expect on the marginality for 2026 if you are a bit more successful that you anticipated? And you were guiding us for a margin of more than 5% in '26. So maybe to understand the potential impact of this commercial success on the 2026 EBIT margin expectation, please.
Eduardo San Miguel Gonzalez De Heredia: Kevin, you're right. The question is perfect. It's not a question. It's an answer, in fact. Obviously, if we are successful in our services activity, obviously, it will have an impact in our results. And percentage-wise, the EBIT has to improve. That was our message in the Capital Markets Day, and that was the main driver of growth of our margins when we were talking about the year 2028. But little by little, it has to become a reality. I mean, every year, we will see improvements because our services activity will grow. But let me give you a bit more visibility around the volumes and the margins and the impact in the Investor Day because I think we still have to see how the second half of the year evolves. We are happy with the margins we are getting from the existing services contract. They are quite aligned with our original expectation. But give us some time to analyze in detail what is the most accurate answer to how it's going to impact 2026 and beyond.
Kevin Roger: Okay. Understood. And maybe just as a follow-up on the question from Mick. So just to be sure I understand correctly the answer that you provided. We have now to assume that the H2 EBITDA on this upstream refining division will be at breakeven?
Eduardo San Miguel Gonzalez De Heredia: Hopefully, it's not breakeven. It should be positive from the existing new projects that will deliver profit. But if the answer is, should we expect additional deteriorations because of those projects we are closing, the answer is we do not expect additional costs.
Operator: Your next question comes from the line of Juan Cánovas with Alantra.
Juan Cánovas: I have a couple of follow-up questions. Regarding the PPL loan from the SEPI, would you consider a rights issue? Or can you rule that out? And that's the first one. And then for the ACWA project, is this EUR 4 billion potential EPC your share of the project? Or would you have to share that with Sinopec? And finally, I would like to know whether you can give us an update on the contingent liabilities you had. I mean, all those projects under discussion, how are they going, whether any of them has been closed?
Eduardo San Miguel Gonzalez De Heredia: Regarding the PPL, are you considering a rights issue? From the very beginning, we decided that once we repay the PPL, the relationship with SEPI finishes. So there is no idea, because probably that is the real question behind your question. We have no idea to allow SEPI to stay in our structure of shareholders. So that's the first answer. Regarding ACWA, if we convert EUR 4 billion into EPC, our stake is around 60%, but we still have to negotiate with Sinopec and with the client. So we have to wait and see, but no more than 60%. And the third question has to do with litigation and contingent liabilities. We are expecting the resolution of some of those litigations, major litigations just after summer, we are very positive. And we are also negotiating some of the litigations with our clients, and I can tell you that our feeling today is that the outcome is going to be positive for us as well. So positive means that it will have at least no impact in our accounts.
Juan Cánovas: Can I just ask about your first answer, the one regarding the SEPI? I was not meaning the SEPI staying in your shareholding, but whether you would issue new equity to repay the SEPI. I mean that was my question.
Eduardo San Miguel Gonzalez De Heredia: I know the message was clear from my side, I think we already have cash available in our balance sheet. So I do not see why should we need to do a rights issue.
Operator: And our last question comes from the line of Filipe Leite with CaixaBank.
Filipe Martins Leite: I have just one final question regarding net cash evolution after the flat performance of this quarter. How do you see net cash evolution from today until the end of the year?
Eduardo San Miguel Gonzalez De Heredia: It's not that easy to answer this question. As I have told you during the presentation, the idea is there is a threshold, and we cannot go beyond that figure. And now you're going to ask me, which is that threshold? I don't know, but my feeling is that when we have been clearly above the EUR 350 million, it has been enough for investors, for banks -- not for investors, sorry, for banks, for clients. So somehow, somewhere around that figure should be that threshold. Any money we receive above this figure, the best idea we're going to have is to inject it in the suppliers. That's my message. I understand perfectly that if our results are improving, we have to find a way to convert the results into cash. And that could be the philosophy. I mean, we need to find a figure that reflects that it's not just we are growing for the sake of growing. We are growing because the EBIT converts into cash. That's the idea. But I do not expect a massive growth because things are going well because it does not -- this is not the strategy. It's something different, something that could impact significantly the results of the year is that a number of EPCs could be awarded by the end of the year, early 2026, and obviously, that could have an impact if they bring large downpayments. But I do not expect to see EUR 500 million by the end of the year. because that's not my idea. That's not the right strategy. We shouldn't be far from the existing numbers. That's my idea.
Operator: And we have no further questions at this time. I would like to turn it back to our speakers for closing remarks.
Unidentified Company Representative: Okay. We're all done. It's the 31st of July. And hope to see you --or see most of you or all of you here in October on Investor Day. And thanks again, and have a very good summer.
Operator: Thank you, presenters. And this concludes today's conference call. Thank you all for joining. You may now disconnect.